Operator: Greetings. Welcome to Helen of Troy's Second Quarter Fiscal 2026 Earnings Call. At this time, all participants are in a listen-only mode. A question and answer session will follow the formal presentation. Anyone should require operator assistance during the conference, please note that this conference is being recorded. I'll now turn the conference over to Ann Racunis, Director, External Communications. Thank you, Ann. You may now begin.
Ann Racunis: Thank you, operator. Good morning, everyone. Welcome to Helen of Troy's second quarter fiscal 2026 earnings conference call. Before I review our agenda with you, I'd like to welcome our new Chief Executive Officer, Scott Azel, who joined the company last month. The agenda for the call this morning is as follows. I will begin with a brief discussion of forward-looking statements, Scott will then share some of his initial thoughts and areas of focus. Brian Grass will provide a high-level discussion of the quarter and our progress on key initiatives. Tracy Shereman, our assistant CFO, will then provide an overview of financial performance in the second quarter and provide commentary on our expectations for the full year fiscal 2026. Following our prepared remarks, we will open up the call for Q&A. This conference call may contain certain forward-looking statements that are based on current expectations with respect to future events or financial performance. Generally, the words anticipates, believes, expects, and other similar words are words identified in forward-looking statements. Forward-looking statements are subject to a number of risks and uncertainties that could cause anticipated results to differ materially from the actual results. This conference call may also include information that may be considered non-GAAP financial information. These non-GAAP measures are not an alternative to GAAP financial information and may be calculated differently than the non-GAAP financial information disclosed by other companies. The company cautions listeners not to place undue reliance on forward-looking statements or non-GAAP information. Before I turn the call over to Scott, I would like to inform all interested parties that a copy of today's earnings release and related investor presentation has been posted to the company's website at helenoftroy.com. And can be found on the investor relations section of the site or by scrolling to the bottom of the home page. The earnings release contains tables that reconcile non-GAAP financial measures to their corresponding GAAP-based measures. And I will now turn the conference call over to Scott.
Scott Azel: Thank you, Ann, and good morning, everyone, and thank you for joining today's call. It is a great honor to speak to you as the CEO of Helen of Troy. Before I begin, I would like to thank both Brian and Tracy for their leadership these past few months. I'm so pleased they've agreed to continue helping me lead this company as chief financial officer and assistant CFO. I've enjoyed the opportunity to become acquainted and collaborate closely with them since I've joined. Their company knowledge, industry insight, and enterprise leadership are immensely valuable, especially as we make a smooth transition to our future. As this is my first earnings call since joining the company last month, let me share a little bit about me and why I'm enthusiastic about the future of Helen of Troy. I most recently served as corporate vice president and general manager of Nike North America, and I was a member of the Nike executive leadership team. Prior to this role, I was the president and CEO of Converse Inc. for four years, where I led a turnaround. A turnaround built on placing the consumer at the center of the enterprise, investing in new product innovation and brand building, and empowering our teams around the world to win in the marketplace. I look forward to getting to know many of you during the weeks and months ahead. But as you get to know me, you'll discover first, I'm extremely curious. I'm always looking at how things work and looking around the corner for the next key consumer behavior and category shift. Second, I'm a relationship builder. I enjoy meeting people and getting to know people. It makes me a better leader. And finally, I'm incredibly competitive. And I want to win. These three characteristics have been a fundamental part of my DNA both professionally and personally. The reason I chose to join Helen of Troy is simple. I love trusted brands. I love thoughtful product solutions and working with teammates that are passionate about consumers and solving consumer problems. I'm excited about the opportunity in front of us to engineer a great comeback story. We have the ability to reverse Helen of Troy's recent underperformance and restore this company's reputation for consistent growth by providing world-class innovation to our consumers. But let's be clear. I am clear-eyed about the challenges we are facing. I embrace the opportunity to reverse course. Occasionally, companies need to go through renewal, and at Helen of Troy, that renewal has started. It's underway. Our focus is to invigorate the exceptional assets we have, to leverage our leadership brands and talent within our organization to win in the marketplace and to win in the workplace. There are many areas for enhancement, but no quick fixes. I work with great optimism, urgency, and purpose. One of my leadership traits is to inspire my team to fear staying still. Execution is the job of management, and we will be laser-focused on executing fewer, more impactful initiatives with excellence. One of my indispensable learnings for executing well is the importance of culture. This is the secret sauce that binds and fuels the enterprise ambition and drives enduring value. I believe leadership influences culture by setting a vision, and management must set the pace and speed towards a clear destination. We will reduce organizational complexity and bureaucracy that has handcuffed this organization. It takes too long to make decisions. I'm so grateful for Brian, Tracy, and other company leaders that have already started to install some of these cultural remedies. Together, we will continue to inspire right actions in our associates to accelerate the best decision-making. I intend to point and direct resources to the most innovative ideas to incubate and take hold. We will take thoughtful and swift actions to simplify our business and drive transparency and accountability across the company. We will empower nimble and more concentrated teams that can make decisions quicker and closer to the consumer in the marketplace. I imagine one of the big questions on your mind today is, tell me more about your long-term strategic plan. It is the right question to ask. It is just a bit too early for me to provide all the details. But let me share with you four of my initial thoughts. First, I want to reenergize this company, its brands, and its people. Although we've slipped recently, the categories we compete in demonstrate genuine growth potential. Going forward, our plan is to focus our attention and investments in a disciplined manner to those brands and opportunities that have the most promise. Helen of Troy has a firm foundation with the opportunity to get back to industry-leading margins and strong cash flow. We have the flexibility to invest in our future to create more competitive advantage and still deliver a strong financial profile. Second, we will position our corporate structure to place the consumer at the center of everything we do. We will place resources and talent closer to the consumer in the marketplace. Our associates want to establish a closer connection with our marketplace and our consumers, which will enhance their engagement and create a distinct presence as we win in the marketplace. My early observation is we have talented people across this enterprise. They just want to win. With that in mind, nothing we will do is more important than developing our people and adding more top talent. At the end of the day, I place my bets on people, not on strategies. Third, I want to strengthen the broader portfolio for predictable volume and profit growth. In my experience, best brand innovations always win. It is especially important that we refocus our creative engine to amplify building best-in-class devices and complementary consumables. There's a solid foundation in place already. Our platform is valuable and durable. We have maintained leading market share positions in key categories. We have begun making necessary adjustments to our product roadmap so that we're positioned to make more best-in-class products while staying laser-focused on execution and ensuring they're in the market on time. However, I want to underline that there is not a quick fix. Our goal is to continue to be the brand solution of choice for our consumers, and this will require us to become even better at design, engineering, and marketing, anticipating the needs of our consumers. Finally, I want to improve asset efficiency and maintain our shareholder-friendly policy. On the asset side, our emphasis will be on improving working capital efficiency and more broadly, balance sheet productivity. On the capital side, we will use cash flow generation of our business to invest in our core business first, reduce our debt, and then search for accretive acquisitions in the future, and then consider return of capital to our shareholders. I plan to continue Helen of Troy's practice of proactive investor outreach via investor meetings and attending relevant investor conferences. In summary, we earned our way into a difficult period, and clearly, we need to behave our way back to high-quality sustainable growth. Over the next few months, we will be working on a long-term plan which will provide a roadmap for our growth ambition. We operate like we are wearing bifocals with vigilance on the near term, but always maintaining a primary focus on maximizing sustainable long-term value for our stakeholders. I will not be satisfied until we place the company on a sustainable path to further increasing market share, growing revenue, and delivering consistent returns for our shareholders. If we do this, I believe we can regain the trust of our stakeholders. With that, I want to turn it over to Brian.
Brian Grass: Good morning, everyone. For joining. I'd like to start by welcoming Scott to the company as our new CEO. I believe his experience, business philosophy, leadership style, and strategic vision are a perfect fit for us as we enter the next phase of our evolution. After only a little more than a month, our associates have been energized by his commitment, passion, growth mindset, and people-first approach. I'm confident his leadership will help us deliver stabilization and reliability in our shorter-term results while we continue to rebuild our platform for sustainable long-term growth. As Scott joined us after the end of the quarter, Tracy and I will take the lead on discussing our results and outlook for the remainder of the year, but I know Scott is eager to take questions regarding his experience, why he chose Helen of Troy, and what he sees after five weeks at the company. Turning to the second quarter. We are not at all satisfied with our results, but we believe we took a step in the right direction with net sales and adjusted EPS at or above the high end of our outlook ranges. Highlights include double-digit revenue growth for Hot Tools, Curlsmith, and Osprey. Growth in both point of sale dollars and units for Braun, Osprey, Olive and June, and OXO. Olive and June revenue and profitability that continues to exceed expectations, DTC revenue growth of 15% year over year, and positive free cash flow of $23 million fiscal year to date despite a cash flow drag of approximately $34 million from higher tariff payments. Looking more broadly, during our last call in July, we identified five key priorities to rebuild our platform for profitable growth and shareholder value creation. One, restoring confidence with key stakeholders. Two, improving go-to-market and operating effectiveness. Three, refocusing on innovation for more product-driven growth. Four, focusing on the fundamentals and fully leveraging the unique strengths of our brands, and five, reinvigorating our culture with resilience and an owner's mindset. I'm pleased to share that we made meaningful progress across all five priorities since our last call. I'm most encouraged by the work we did to improve our go-to-market and operating effectiveness. We recognize that some of our past strategies and execution have fallen short, impacting our credibility with key stakeholders. We've made meaningful modifications to course-correct our structure, strategy, execution, and approach, which we believe will improve the reliability of our operating results in the near term and lead the way towards growth and consistent shareholder value creation in the longer term. As part of our effort to improve go-to-market effectiveness, we realigned our commercial triangle of product, sales, and marketing within each division, putting our brands at the center. And rebuilt our organizational structure with single points of accountability under our segment leaders to deliver business results. We have seen immediate benefits in terms of alignment, communication, clarity, efficiency, speed, and ownership of results. We are also making progress toward our goal of sustained operational excellence across the enterprise. As examples, our distribution operations are now hitting service level targets and nearing peak efficiency levels, and we've made improvements to our direct-to-consumer platforms, digital assets, and overall consumer experience. We helped drive double-digit DTC growth for the '26. While our second quarter results reflect the early impact of our focus on fundamentals, simplifying operations, sharpening our priorities, and increasing agility, they also highlight that we remain in a transition period with further improvement still needed. I thought it'd be beneficial to give continued perspective on tariffs. As the macro environment remains complex with tariffs continuing to influence our operations and impact our financial performance. As most are aware, in April, the US government implemented a broad set of tariffs aimed at restructuring trade relationships, particularly with China. Since then, we have experienced significant increases in tariff rates, which have created immediate and ongoing revenue, earnings, cash flow, and balance sheet impacts. In response, we've taken a series of tariff mitigation, cost reduction, and cash flow preservation actions that we've outlined in previous calls and continue to build on. One, supplier diversification. We have actively worked to mitigate tariff risks by diversifying our sourcing and manufacturing footprint outside of China. Tracy will give you an update, and there's material in our investor presentation on this. Two, inventory management and SKU prioritization. We purchased targeted additional inventory in late fiscal 2025 and early fiscal 2026 ahead of potential tariffs. Subsequently, throughout April and May, we significantly reduced purchases of finished goods from China until tariff levels decreased to a more manageable level, limiting our overall exposure. Three, supplier cost reductions. In an effort to offset some portion of tariff increases, we have pursued cost reduction opportunities with our suppliers, which we have continued to stack up since liberation day. Four, customer price increases. We notified retail customers of targeted price increases with the original goal of having them in place near the end of the summer. Working collaboratively with our key retailers and in careful consideration of market and category dynamics, we have now implemented the majority of our planned pricing increases as of September. However, there are some isolated price increases that are still pending. We're holding shipments in some instances as we work toward consistent adoption across our retail customer base. We expect a slight delay in implementation and the holding of shipments to compress our operating results in the '26 as compared to our previous expectations, which has been factored into the outlook provided in our second quarter earnings release. And five, cost management. In response to tariffs and revenue declines over the past several quarters, we implemented a series of measures to reduce overall costs, optimize working capital, improve balance sheet productivity, and preserve cash flow. While tariffs present ongoing headwinds, we believe our diversified sourcing strategy, extensive tariff mitigation, and proactive cost management positions us well to continue to adapt to the disruption and that will continue to evolve. Focus remains on balancing short-term adjustments with investments in innovation and growth, ensuring the business remains resilient and healthy as we take steps toward a return to growth and long-term value creation. Turning back to our second quarter results. I'll start with our Beauty and Wellness segment. Sales declined 4%, favorable to our outlook range of a decline of 11.3% to 6.1% despite ongoing consumer pressures and continued revenue disruption from tariffs. Olive and June was a standout, delivering better than expected sales of $33.4 million. Segment organic sales declined as consumers remained cautious, tariffs weighed on direct import orders, retailers adjusted inventories, and our overall point of sale declined. Turning to international results for the segment. Remaining retail inventory from last year's weak cough, cold, and flu season, coupled with the slow start to this year's season, led to lower replenishment in the second quarter. In China, government incentives favoring localized fulfillment are driving consumer and distributor purchases away from preferred global brands like Braun, which are not sourced domestically and are not price competitive without the subsidy. Taking a step back from the beauty and wellness financial results for the quarter, I'd like to highlight some underlying bright spots we see in the business. Curlsmith recently completed a brand refresh under the campaign It's a Curls World. The update simplifies curly hair care into a three-step routine, introduces fresh new packaging for easier navigation, and brings innovation with products like the Awestruck definition cream and moisture memory release. These are designed to extend curl longevity, boost hydration, and provide customized solutions across moisture, strength, and frizz control. Shipments to retail partners, including Ulta, began in the second quarter. Olive and June continues to build momentum in DIY nail care. With innovative tools and products that deliver salon-quality results, the brand is resonating with a broad customer base. Growth this quarter was fueled by replenishment demand, new product launches, and expanded distribution. Retail partners are also expanding assortment and in-store placement, giving Olive and June even more reach in the back half of the fiscal year. We are pleased that our beauty portfolio was recently recognized by the Allure Best of Beauty Awards. Often called the Oscars of the beauty industry, they are a powerful endorsement and recognition of product excellence and innovation. This year, our brands earned five top honors: Curlsmith for best curl enhancer, Drybar Hot Toddy for best heat protector, Revlon One Step Volumizer Plus for best brush dryer, Hot Tools for best static curling iron, and Olive and June gel mani for best breakthrough. These wins underscore the strength and diversity of our beauty brands and reflect the team's outstanding work to drive innovation and execution across our beauty business. In home and outdoor, second quarter results were consistent with our expectations. Net sales declined 13.7% as the domestic market remained under pressure from the impact of tariffs on direct import orders, cautious consumer spending, and lower replenishment from retail partners as they manage inventory levels with a cautious view of the consumer environment. This was partially offset by OXO distribution gains and continued strong performance in food storage, bath, and kitchen gadgets at retail. Internationally, segment sales grew driven by Osprey. Turning to OXO. The brand's fundamentals remain strong. Consumers are responding well to Twist and Stack food storage solutions for their durability and secure sealing lids. Our rapid brewer is earning outstanding feedback for speed, versatility, and thoughtful design. And the new compact conical burr coffee grinder was recognized by Forbes as the best value pick in its category, praised for consistent grind quality and slim user-friendly design. Other recent launches continue to grow, including OXO ceramic bakeware and additions to our emerging OXO Tot feeding line, further reinforcing OXO's reputation for solving everyday problems with high-quality intuitive products. Hydro Flask highlights include the new Micro Hydro, which is proving to be highly fashionable and versatile, compact enough for everyday carry, yet functional across wellness, outdoor, and travel occasions. Early adoption has been strong, and we see the opportunity to build this into a distinct franchise. Our new 24-ounce travel tumbler and travel bottle also drove nice growth during the quarter, reflecting continued demand for performance hydration and the brand's ability to continue to expand into adjacent sizes, shapes, form factors, and categories. Osprey posted strong growth in the quarter led by technical and travel packs. In the US technical pack market, Osprey remains the number one brand with share more than three times larger than the next competitor. Consumers are rewarding the brand's sustainability leadership, including our move to 100% recycled fabrics and elimination of PFAS-based durable water repellent across all textile products. Performance remains a differentiator as well. Our new Archeon series, featuring an abrasion-resistant, 100% recycled fabric, performed so strongly in testing that our machines could not wear it down. That level of quality is resonating with consumers. The limited edition Archeon Fujin backpack, created in collaboration with Carryology, sold out in just 24 hours. In addition, new transporter and daylight travel packs grew double digits and our kit carriers gained share and grew point of sale. Despite near-term demand variability and ongoing retail inventory adjustments, OXO, Hydro Flask, and Osprey continue to show positive consumer traction. We are prioritizing innovation, brand relevance, and sustainability as core elements that will restore growth and deliver long-term value in home and outdoor. In closing, we are giving perspective on challenging external factors today. Let me be clear. It's up to us whether we grow or not. While we expect the environment to remain challenging, our north star must be to keep the consumer at the center of everything we do. Consumers are seeking a better value proposition for their limited share of wallet. We can deliver that proposition across a strong portfolio of brands with innovative products that resonate with the consumer and exceed their expectations with differentiated features, thoughtful designs, and superior performance. When we support these efforts with the right brand-building initiatives, flawless retail and operational execution, and a delightful end-to-end consumer experience, it should be a winning formula in any environment. Getting that formula right is up to us. Before turning the call over to Tracy, I want to acknowledge the dedication and professionalism of our associates. Their resilience and commitment are critical as we work through this period of new beginning. We are taking deliberate steps to strengthen our foundation, refine our strategies, improve our execution, and position Helen of Troy for long-term success. We remain focused on delivering our commitments while we rebuild our platform to drive profitable growth and value creation for our shareholders. And now Tracy will review the financials in more detail and provide our financial outlook for the remainder of fiscal 2026.
Tracy Shereman: Good morning, everyone, and thank you for being with us today. I want to give Scott a warm welcome to Helen of Troy. In just a short time, I've been impressed by his leadership style and his ability to inspire and engage with teams across the organization. Like many others, I'm confident he's a great fit for our culture and the brands that define Helen of Troy as we move into our next chapter. Today, we reported results at the favorable end of the net sales and adjusted EPS outlook ranges we communicated during our earnings call in July. This result is encouraging and reinforces our commitment to maintaining focus and discipline as we implement key initiatives to strengthen our business performance. As Brian highlighted, we made further progress on our tariff mitigation strategies, including initiatives aimed at reducing costs and safeguarding cash flow. We now anticipate that we can lower our cost of goods sold subject to China tariff to between 25-30% by the end of fiscal 2026, as compared to our previous expectation of below 25%. While this is slightly higher than we originally targeted, we believe we are making the right choices to mitigate supply risk, ensure product quality, secure favorable cost, and navigate the business disruption that has emerged. Year to date, we have experienced an approximate $10 million impact from tariffs on our cost of goods sold, and we expect a reduced negative effect in the later half of the year, amounting to less than $9 million as we benefit from the price increases that Brian mentioned. Please refer to the investor presentation on our website for a complete summary of the tariff mitigation actions we are taking, as well as a summary of the gross unmitigated impact of tariffs at current rates, the amount we believe we can mitigate or offset, and the net remaining impact on operating income for fiscal 2026. Turning your attention to the results from the second quarter. Consolidated net sales decreased 8.9%. When excluding the effects of 16%. Approximately 30% of the organic revenue decline was attributed to tariff-related revenue disruptions. As expected, this primarily stems from two key factors: the pause or cancellation of direct import orders from China in response to higher tariffs and trade policy uncertainty, and changing dynamics within the China market, which include a transition towards localized fulfillment models and increased competition from domestic sellers who are benefiting from government subsidies. While we expect these headwinds to persist into the second half, their impact is expected to be less significant compared to the first half. The remaining decline is indicative of softness in certain categories and overall point of sale decline. Even if several of our brands gained or maintained market share and saw point of sale unit improvement. Category softness can be attributed to changing consumer behaviors, particularly the prioritization of essential categories amid concerns regarding future pricing pressures and overall economic uncertainty. As these trends influence purchasing volumes, retailers also continue to modify their inventory levels. Furthermore, we observed a slowdown in thermometry replenishment across the Asia Pacific region, which was a result of a less severe illness season last year. Now I would like to turn to our business segment performance. Starting with Home and Outdoor, where net sales experienced a decline of 13.7%. Approximately four percentage points of this decline can be attributed to tariff-related disruptions, which include lower club direct import orders in the insulated beverageware and home categories in response to increased tariff rates. The remaining decrease reflects ongoing broader demand weakness in both the home and the insulated beverageware categories, including continued POS decline in beverageware, due to heightened competition and net distribution losses. This softness was further pressured by retailer inventory adjustments and lower sales in the closeout channel. These challenges were somewhat mitigated by strong demand for technical, travel, and lifestyle packs, increased sales from expanded distribution in the home category, and additional sales generated from a new product launch in the insulated beverageware category. Shifting our focus to the beauty and wellness segment. Net sales saw an organic business decline of 18.2%. Approximately five percentage points of this decrease were attributed to tariff-related disruption. The decline also includes the cascading impacts of trade policy in the China market, affecting international thermometry sales in addition to a reduction in domestic sales of heaters and certain beauty products. The remaining decline is reflective of broader demand weakness for thermometers internationally, which is attributed to lower replenishment levels due to a less severe illness season last year in Asia. A downturn in beauty sales is primarily driven by diminished consumer demand, heightened competition, and a net distribution loss compared to the previous year, as well as a decrease in water filtration largely due to weaker consumer demand and intensified competitive promotional efforts. These headwinds were partially offset by incremental revenue from Olive and June of $33.4 million. Consolidated gross profit margin decreased 140 points to 44.2% due to higher tariffs on cost of goods sold, which unfavorably impacted gross profit margin by approximately 200 basis points, and higher retail trade and promotional expense in response to a more competitive retail environment. These factors were partially offset by the favorable impact of the Olive and June acquisition, lower commodity and product costs, and favorable inventory obsolescence expense year over year. SG&A ratio increased 310 basis points primarily due to increased share-based compensation expense, higher outbound freight costs, the impact of the Olive and June acquisition, and the impact of unfavorable operating leverage. These factors were partially offset by the favorable comparative impact of higher distribution center expense in the prior year period due to additional costs and lost efficiency associated with automation start-up issues at the Tennessee distribution facility. GAAP operating loss for the quarter was $315.7 million, primarily due to $326.4 million of non-cash asset impairment charges incurred primarily due to the sustained decline in our stock price, and the lower gross profit margin and higher SG&A rate I just mentioned. On an adjusted basis, operating margin decreased 360 basis points to 6.2%. The decrease was primarily driven by the impact of higher tariffs on cost of goods sold, which unfavorably impacted adjusted operating margin by approximately 200 basis points. As Brian discussed, our price increases to retailers largely became effective after the end of the second quarter, so the tariff cost impact on our second quarter operating margin was greater than what we expect on a go-forward basis. The gross margin decline was also driven by higher retail trade and promotional expense, higher outbound freight costs, and the impact of unfavorable leverage. This was partially offset by the favorable impact of the acquisition of Olive and June, lower commodity and product costs, favorable inventory obsolescence expense year over year, and the favorable comparative impact of higher distribution center expense in the prior year period as I mentioned earlier. Home and outdoor adjusted operating margin decreased approximately 540 basis points to 9.6%. This reflects the impact of higher tariffs on cost of goods sold, which reduced operating margin by approximately 240 basis points. This was partially offset by the favorable comparative impact of higher distribution center expenses in the prior year period. Adjusted operating margin for beauty and wellness decreased 130 basis points to 3.1%. This reflects the impact of higher tariffs on cost of goods sold, which reduced operating margin by approximately 180 basis points. This is partly offset by the contribution from Olive and June. Income tax benefit as a percentage of loss before income tax was 6.4%, compared to an income tax expense as a percentage of income before income tax of 22% for the same period last year. The decrease in the effective tax rate is primarily due to the tax effect of the impairment charges in fiscal 2026, and increases in tax benefits for discrete items, partially offset by valuation allowances on intangible asset deferred tax. Non-GAAP adjusted EPS was 59¢ compared to $1.21 in the same period last year. This year-over-year decrease was primarily due to lower adjusted operating income and higher interest expense, partially offset by a decrease in adjusted income tax expense. Turning to our inventory balance. We ended the quarter with $528.9 million, or approximately $59 million higher than the same period last year. Excluding inventory related to the Olive and June acquisition, and $32 million of tariff-related costs layered into inventory, our ending inventory was largely flat year over year. That said, our inventory remains higher than we'd like, and we remain focused on driving improvements in the second half of the year. Turning to our debt and liquidity position. We ended the second quarter with total debt of $893.2 million, a sequential increase of $22 million compared to the '26. Free cash flow was unfavorably impacted by roughly $27 million of cash outflow from tariffs, inventory build ahead of our peak selling season, and higher capital spending tied to supplier transitions outside of China. The borrowing availability on our revolving credit facility is $578.6 million, and the limitation on our ability to borrow based on our leverage ratio is $212.7 million. Our net leverage ratio was 3.5 times at the end of the second quarter compared to 3.1 times at the end of the '26. The increase was driven by higher net debt and lower trailing twelve-month EBITDA due to the revenue decline in the first half of the fiscal year. Looking ahead, free cash flow is expected to sequentially improve over the balance of the year, and leverage and interest coverage will remain areas of focus. At the end of the second quarter, we are in compliance with all covenants under our credit agreement. However, given the potential range of outcomes related to sales trends, tariffs, and other macroeconomic factors, we will likely proactively engage with our lender group to secure additional flexibility to ensure continued compliance. Now I'd like to turn to our outlook. Despite the ongoing trade disruption that presents a challenging operational landscape, we are encouraged by the progress we are making to alleviate the effects of tariffs and enhance our operational and financial standing. As such, we are providing an outlook for the remainder of the fiscal year. Our outlook includes our anticipation of lower direct import orders following tariff-related pullbacks, the ongoing impact from changing dynamics in the China market, lapping of tariff-related order pull forward in '25, and continued soft consumer demand. Additionally, we're observing ongoing consumer trade-down behavior as shoppers seek value and prioritize essential categories. In light of these trends, we expect retailers to remain cautious, managing inventory levels tightly amid ongoing uncertainty and inflationary pressures. We expect these challenges to be somewhat mitigated by additional revenue generated from the Olive and June acquisition, the implementation of pricing actions largely effective by September, and the cautious view of potential unit volume declines tied to price elasticity. As Brian mentioned, there are some price increases still pending, and we're holding shipments in some cases to ensure consistent adoption across our retail customer base. We expect that this will slightly compress the pricing benefits in the second half of the year as compared to our original expectations but is necessary to avoid pricing disruption in the market. On a full-year basis, we expect net sales between $1.74 billion and $1.78 billion, which implies a decline of 8.8% to 6.7% year over year. In terms of our net sales outlook by segment, we expect a home and outdoor decline of 11.8% to 9.7% and the beauty and wellness decline of 6.2% to 4%, which includes an expected incremental net sales contribution of $130 to $137 million from Olive and June. On a full-year basis, we expect consolidated adjusted EPS in the range of $3.75 to $4.25, which implies a decline of 47.7% to 40.7% year over year. For the third quarter, we expect net sales between $491 and $512 million, which implies a decline of 7.5% to 3.5%. In terms of our net sales outlook by segment, we expect Home and Outdoor decline of 12.8% to 8.7%, and the beauty and wellness decline of 2.9% to growth of 1%, which includes expected incremental net sales contribution of $36 to $39 million from Olive and June. We expect third-quarter consolidated adjusted diluted EPS in the range of $1.55 to $1.80, which implies a decline of 41.9% to 32.6% year over year. Our adjusted EPS outlook includes expected margin compression, reflecting growth investments to support future revenue expansion and new product development, pressures from a more promotional environment, consumer trade-down behavior within our categories, a less favorable overall product mix, higher product cost driven by higher tariffs, and unfavorable operating leverage. We expect margin compression in the '26 to be partially offset by Project Pegasus initiative and strategic price increases implemented largely by September, the comparative impact of unfavorable operating efficiencies at our Tennessee distribution facility in the prior year, and cost reduction measures implemented in the first six months and continuing throughout the year. We believe our actions to reduce spending will lead to a more normalized non-GAAP SG&A ratio in the range of 34% to 30% for the second half of the fiscal year, supported by our seasonal revenue patterns and more favorable operating leverage. Easing tariffs related to trade disruptions and the favorable impact of our price increases to retail on our SG&A ratio. In terms of our tax rate, we expect our adjusted effective tax rate to range from 15% to 16% for the full fiscal year, with third and fourth quarter ranges between 22% to 25% and 28% to 31%, respectively. Inventory is expected to decrease from current levels to approximately $480 to $500 million by the end of the fiscal year, or roughly $27 to $47 million above fiscal 2025. This increase is primarily driven by approximately $41 million of tariff-related costs we expect to be capitalized into inventory at year-end, along with inventory prebuilds related to Southeast Asia sourcing transition. We also expect to hold additional inventory ahead of Chinese New Year, which falls two weeks later than last year. As previously shared, we still expect the majority of direct tariff costs to impact the second half of the fiscal year, which is largely aligned with our pricing actions. We also expect our diversification and dual sourcing strategies to reduce supply risk and help insulate us from tariff policy changes. Related operating expenses and capital expenditures are expected in fiscal 2026, with most of the diversification benefit realized towards late fiscal 2026 and early fiscal 2027. In closing, I am confident we are well-positioned to navigate the current environment and come out stronger by focusing on a few clear priorities: strengthening supply chain diversification beyond China, implementing focused and collaborative pricing strategies, maintaining cost and cash discipline, and protecting our balance sheet. Under the guidance of Scott and Brian, and the renewed energy of our global team, I believe we're on track to begin unlocking the full potential of our diverse portfolio of leading brands and driving sustainable long-term growth. With that, I will turn it back over to the operator for Q&A.
Operator: Thank you. We'll now be conducting a question and answer session. We ask you please limit yourself to one question and one follow-up. You may requeue for additional questions. If you would like to ask a question at this time, please press 1 from your telephone keypad. A confirmation tone will indicate your line is in the question queue. For participants using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. One moment, please, while we poll for questions. Thank you. The first question comes from the line of Rupesh Parikh with Oppenheimer. Please proceed with your questions.
Rupesh Parikh: Good morning. Thanks for taking our questions. So maybe, Scott, a question for you to start out. I know you've only been there a few weeks at this point, but just curious how you feel about the portfolio today. Are there any opportunities for divestitures? So just at a high level, your initial takes on just the portfolio as you see it today.
Tracy Shereman: Yeah. Before we answer that question, Rupesh, we're gonna let clarify a comment she made in her remarks. Yeah. Thanks, Brian. Yeah. Just need to clarify my commentary related to the full-year revenue outlook by segment. So in my remarks, I provided an outlook for the incremental revenue contribution from Olive and June roughly $130 to $137 million, which is the total revenue contribution for the year, not the incremental contribution for the year. So the correct incremental contribution for Olive and June is in the range of $109 to $112 million. So this information has been provided in the earnings release, which is correct, as well as the investor presentation.
Scott Azel: Thank you, Tracy. Rupesh, nice to meet you. Super excited about being here. I think to reask your question myself, you said what do I've seen after the first couple of weeks here at Helen of Troy? Why I'm excited. I tell you this. I think about first when I first investigated Helen of Troy, you know, a couple of months ago. And then as I'm looking at the background information on the company, I look around my home, and I see the Osprey backpacks that my son and I used as he was on his road to becoming an Eagle Scout or the OXO products in my kitchen. Or the Curlsmith products that my daughter uses. And I say, wow. What a collection of amazing brands that have so much promise and opportunity. Then as I did more investigation, I said to myself, you know, a company that had such an amazing path that in the most recent days have been challenged. We have so much opportunity going forward. As far as divestiture of portfolio, after five weeks at this point, you know, all of our brands, I think, have promise, but it's something that we're evaluating on a going forward basis as we think about our long-range plan and where we're going. But at this point, I can't give you a specific answer on any one brand or any decision at this point.
Rupesh Parikh: Great. Thank you for the call. I look forward to meeting you. And then maybe just one follow-up question. And David, I'm not sure how much color you can provide today, Brian, Tracy, but just curious, you know, as you look at the guidance for this year as we look to next year and beyond, like, you know, do you think this is a fair earnings base you could potentially grow off of going forward? Or I don't know if there's any, like, any color you can provide and just how to think about the earnings base that we're seeing now and the ability to grow off of it in future years.
Brian Grass: Yeah. I think we're not gonna wanna give specific guidance for fiscal 2027 at this point, but I would call out, you know, there's large transitory, we believe transitory impacts to both revenue and expense in fiscal 2026. And we believe a lot of those will dissipate, you know, in the second half of this year and especially as we get into next year. You know? So I would point that out as being a building block for growth next year. We'll have to, you know, finish going through our planning and size up everything in the aggregate as we, you know, get more visibility through the second half of this year. But we definitely believe there's transitory impacts that were unfavorable in 2026 that we don't believe would exist in 2027. Tracy, you wanna add anything to that?
Tracy Shereman: Yeah. No. I think that's absolutely right. I think, you know, what we experienced in the first quarter and second quarter, you're gonna see that improve in the back half. I think that will help us be the building blocks as we look at fiscal 2027.
Rupesh Parikh: Great. Thank you. I'll pass it along.
Operator: The next question is from the line of Robert Labick with CJS Securities. Please proceed with your questions.
Robert Labick: Good morning, and welcome, Scott. Nice to meet you, and thanks for taking our questions.
Scott Azel: Awesome. Nice meeting you. Hey, Bob.
Robert Labick: Morning, Brian. So to start, just you know, with Scott here, in your experience, you know, what does it take, and how does a company revitalize brands that were, you know, leaders, maybe still are, had really strong growth, but growing as much, maybe losing a little share here and there. What are the steps needed, and what are the biggest challenges to restoring growth to, you know, leading brands that aren't growing as much?
Scott Azel: Bob, great question. I tell you from my past a couple of things. One is obsessing the consumer and consumer insights. Two is driving innovation, and then looking at the operating model and saying to yourself, what's getting in the way of decision-making so that you can go from idea to marketplace with speed. When I look at a company at our size, I see much opportunity in terms of the people, the culture, and the background that really comes down to management philosophy, management discipline, and management role modeling what's most important. The work that Tracy, Brian, and the team have done in the last couple of months to put more resources and more people closer to the marketplace, closer to the brands, closer to the consumers, it's a step in the right direction, but really creating the piping and the plumbing this becomes something we do every day. It's about growth. It's about where we're going. It's about leading the consumer. It's about building the category. When we talk about our long-range brands in the future, that's what our focus is gonna be around.
Robert Labick: Okay. Great. And then just kind of for my follow-up question, I guess, Brian, can you just maybe discuss optimal leverage and capital structure for the business? And your expectations for talks with? You mentioned, obviously, you're in compliance with all covenants, but maybe looking to get some, you know, better, you know, options going forward. So maybe just give us a sense. Your relief. Yeah. Thank you. Exactly. Go forward. And just give us a sense of where, you know, your thoughts on the balance sheet and how that relief may go.
Brian Grass: Yeah. I mean, optimally, in this environment, we would like leverage to be closer to two times and maybe even below that as we go forward. In terms of, you know, my view of, you know, the covenant situation and where we are, I feel really good about where we are. We've had discussions with the vast majority of our banking group at this point to make them aware of the possibility and to talk through, you know, what it means, what it'll look like, and that type of thing. And I would say every single one of those conversations has been supportive and constructive. So I expect some form of holiday in terms of those covenants and in terms of what other impacts there would be. You know, there will be fees associated with doing an amendment, but I'm not expecting any large structural changes to, you know, interest, the cost of interest, or anything else like that. So that's what I know at this point. We'll continue to evaluate the need to work through that process. And if we do need to work through that process, we'll do it swiftly.
Robert Labick: Okay. Super. Thank you.
Operator: Our next questions come from the line of Susan Anderson with Canaccord Genuity. Please proceed with your question.
Susan Anderson: Hi. Good morning. Thanks for all the details this morning, and welcome aboard, Scott. Wondering maybe if you had any high-level views yet just on the category where you see the opportunity going forward for growth, whether that's in beauty and wellness or home and outdoor or maybe even categories that you're not in yet. Thanks.
Scott Azel: Yeah. Go ahead. Susan, nice to meet you. Again, early days, but a couple of things. One, the answer is yes and yes, both in home and outdoor and in beauty and wellness. You know, as I've traveled and I still have many travels to go over the next days and weeks, whether it be the innovation I'm seeing around Osprey, I'm building the legacy and ethos of that brand in adjacent categories as well as in existing categories. A lot of upside opportunity. Curlsmith is still just scratching the surface as I talk to retailers and talk to our consumers around restaging that brand and connecting with the consumers that resonate with them. And the restage is happening as we speak. We talked about Olive and June. It's in its early days of a great book that's being written. And then OXO has an abundance of innovation that starts with authenticity and really a connection with the true chef that can't be characterized by our competition. But I can tell you that in early days that, we have a lot of opportunity to focus on fewer initiatives and drive impact with the brands that we have to fix in that foundation. And second, paying down debt. And then looking at M&A as a growth driver, which has been a part of our past going forward. But we've got to get our foundation right first.
Brian Grass: I would just add, Susan, beauty, it's not one that Scott may be specifically touched on. But it is a category that we think there's opportunity in. We need to do better within the category. We realize that. We're actually excited about short, medium, and long-term innovation that we have in the pipeline there that we're going to leverage to drive that growth and perform better within that category. So, you know, it's not an opportunity at this moment, but we see it being an opportunity as we go forward.
Susan Anderson: Okay. Great. And then maybe if you can give some more color just on the segments and the puts and takes of the brand the quarter, like, for instance, in beauty and wellness. It sounded like the wellness brands were kind of the weaker part of the portfolio. I'm curious how the prestige hair brands did. And then also the tools. And then within home and outdoor, it once there also sounded like home was kind of the weaker area. Curious how OXO performed. Thanks.
Brian Grass: Okay. Yeah. We can walk around the wheel a little bit. I would say overall, what we saw is that sell-through sell-in is lagging sell-through for the first two quarters of the year. And, hopefully, that would be evident based on some of the disruptive factors and things like that, but I want to make sure people understand that. And I think inventory is being managed cautiously by retailers in most cases. We have one or two cases where we've got isolated higher pockets of inventory, but those are exceptions and isolated, I think. So, you know, I would say that as a broad statement. You're correct on your first statement about wellness being a little bit weaker in terms of our revenue. I think that was driven largely by direct import disruption. And we continue to see impacts of, you know, a weak cough, cold, flu season from last year and then a slow start to the season this year is kind of having a double effect in terms of the wellness business. Beauty, as you know, we kind of talked about, we're in some strong categories in beauty overall, is doing well. I think there's pockets where there is some consumer trade-down occurring and there's, you know, strong competition in the channel and some of our categories. But I feel really good about where we're going in that business in terms of, you know, the alignment we've done internally and kind of the doors that that's unlocking. And then our new product pipeline, like I said, short, medium, and longer-term, looks really good. And, you know, the all-inclusive tool that we just launched is now starting to get really good traction. So that's exciting for us. And then I think the last is home and outdoor, and I'll give Tracy a chance to weigh in after. Home was softer in terms of our shipments, but I wouldn't I think that's, again, a lot of disruption related to retail inventory adjustments. And, you know, impact of direct imports and kind of a lot of that noise. I think as we look more steady state going into the second half of the year, we feel really good about the home business. And then, you know, outdoor, and hydration, I think you know the story there. Osprey is doing really, really well, and it did well in the quarter. And we think we have the ability to continue to build on that with white space opportunities, continue new products, adjacencies, that type of thing. And then hydration, you know, we do see that category softening. What we like about it is there's kind of a pivot back to bottles where we've had historical strength. We intend to lean into that, and we're working on some stuff to kind of differentiate ourselves from the competition in the bottle space. And that will be coming out in the future. And then the last point I'll make is related to new products and category adjacencies and Hydro Flask. It's not in hydration, but as we look broadly, can Hydro Flask go? We're excited about opportunities to kind of expand it into some other areas, which will be coming soon. Tracy, anything you want to add?
Tracy Shereman: I think that's a very good overview of how the brands performed. I would say for Home and Outdoor, you know, both OXO and Osprey had favorable POS within the quarter. As Brian mentioned, you know, where we're soft is in insulated beverageware. But I think the work that we're doing and rebuilding our connectivity with the consumer and our pipeline is gonna help fuel, you know, the division overall.
Susan Anderson: Okay. Great. Thanks so much. Good luck this holiday.
Operator: The next questions are from the line of Olivia Tong with Raymond James. Please proceed with your question.
Olivia Tong: Great. Excuse me. Thanks. Good morning, and welcome, Scott. Looking forward to working with you. My first question for you is just when you look at the categories that Helen of Troy is in, where you see the greatest opportunity for innovation, and if you could layer in, you know, your past experiences driving turnarounds, where you've done that. How you think that you can bring that to Helen of Troy. And then for all of you guys, I suppose, specifically for the drinkware category, the innovation in the deck sounds very compelling. The person the better color profile, so forth and so on. But how do you balance some of the fairly heavy discounting that we're seeing both in external retailers and then on your own DTC with plans to turn around the business? And then also, can you give some broad strokes just on the category and the competitive dynamics? That is a particularly competitive category? Thank you.
Scott Azel: Great meeting you. I'll take the first part. Maybe Brian and Tracy can jump in. You know, I think I see opportunity really across our whole portfolio of making innovation and putting the consumer in the marketplace kind of first and foremost like, kind of more in the DNA of what we do every day. And that comes from the way we lead from the top, the talent that we have leading our businesses, and where we place our resources and investments. So I at several weeks in, I wouldn't say there's any one category that we have to do it in. We need to do it in the categories we have strength right now today, as well as the categories that are not performing where they need to be for the future. So, that's the way I think about it today. The way I think about it from my past, it's really making sure that team talent and routines are focused around innovation in the consumer. And making sure we're acting with speed to capture consumer and category opportunities, you know, ahead of the marketplace. I've done that in the past, and it's such an opportunity for us at Helen of Troy. And it's not something that we can't do. It's just something we have to make a priority on how we operate every day.
Brian Grass: Yeah. Olivia, on your second question, what we see is that the hydration category had been heavily influenced by kind of the tumbler part of that category and maybe some saturation has kind of occurred in the channel. And I think the bulk of what you're referring to in terms of discounting and kind of trying to clean a lot of that out is in the tumbler space. It's another reason why I like kind of the pivot to bottles where we have our strength. I think we're less exposed on the tumbler side, and so we're really gonna lean into where the trends are going and the kind of the pivot and form factor and try and maximize that opportunity. We also think we have distribution opportunities to maximize and improve on and we're gonna go after that. But and then, you know, thirdly, what I said earlier about kind of we think Hydro Flask can go into some adjacent categories, and we're working on that product lineup now. So we still feel good about the space. I think, you know, there's some normalization going on there, and I think that's largely concentrated in tumblers. But we'll obviously have to navigate the broader kind of dynamics going on in terms of discounting and, you know, what's kind of in the channel already that we'll have to navigate through.
Olivia Tong: Got it. That's helpful. And then just following up, about tariff pressures and your level of confidence in offsetting those pressures. I know it's too early to see the impact of the pricing yet. But given the increased promotional environment and the distribution losses that you've seen, it doesn't necessarily sound like price is the most available lever at this moment. So to the extent that you can comment on other mitigation plans that you have, the conversations that you've had with retailers. I know you mentioned earlier about some of the holding of shipment that may impact the second half. What other tools do you have at your disposal should it take a little bit longer to get the price increases flowing through?
Brian Grass: Yeah. I can start, and Tracy may want to build. Look. We've been working on pricing ever since liberty Day occurred. I mean, first, we had to do our internal work to assess what pricing we thought made sense, and a lot goes into that. And so we, you know, spent a period of time doing that. And then we also collaborated with retailers as to what they thought made sense and price points and all that type of stuff. And then they have that you have to work through. And then the last piece of it is you as you get it out there and you get it accepted, you gotta have consistent adoption amongst your key retailers. It doesn't work if you don't get that. And that's really where we are today. If there are any pockets holding shipments, it's to make sure that we have that consistency. Adoption, and we're going to hold the line on that to make sure. And if, you know, you're a if you're one retailer, you don't want a different adoption by another retailer. You're not gonna like that. And so it's our responsibility to get all that right. And I think we've done that for the vast majority of our pricing, and there's just a few additional things to work through. So I feel confident about the ability to have the prices in place with our retailers really, without exception, and I think that's coming very shortly. Then I think there's what do you assume in terms of price elasticity. And what we try to do is be very conservative in our assumptions about price elasticity, and I think that's it. We've done that, and that's reflected in our outlook. You might ask, well, why do the price increase if you're gonna lose a lot of it in unit volume? You're still better off, I believe, in terms of profitability. And in some cases, retailers where they have private label product, they want the price increase in market because they can't raise the price on their private label and have it bumping up against the branded product. And so, strategically, they want the differentiation there. And so from a few different perspectives, the price increase makes sense, and it definitely helps the profitability even if you lose a large part of it in terms of unit volume. So I hope that answered your question. That's kind of the way just that we look at pricing. I feel really good about getting it in place and where we are in terms of that. And then, you know, it's about what happens with the consumer and what choices do they make. You asked about other levers also. You know, pricing is a big lever, in terms of our ability to offset what we're able to. And we've pulled a lot of other levers as well, and we mentioned all of those in our prepared remarks. They're also kind of referred to in the earnings release. The ability to use those more, I would say, look. We're gonna continue to pursue cost decreases with our suppliers. And we continue to kind of stack those up. And, hopefully, those will just be upside as we're able to continue to get those. And we'll we're gonna do that no matter what happens with retail price and increases. We've pulled a lot of the other levers and made significant choices. What we don't want to do is pull so far back on our growth investment for the remainder of this year that it puts us in a bad spot as we go into fiscal 2027. So we are trying to sustain and hold the line on new product development and the right brand-building initiatives to keep our business healthy and position ourselves for growth. So we're not gonna go any further than we kind of have at this point there. In fact, we may find opportunities we want to lean into. And often cases, when we lean into those, they're incremental. So there's a cost, they're incremental, and they drive revenue. And so those are easy choices to make. And they don't all they're not all easy, but some are. And we'll lean into the ones that we think can improve both our position and drive incremental revenue for us in the second half of the year. So, hopefully, that's a little bit of flavor of how we're looking at it. I think we've pulled a lot of the levers. Feel good about where we've ended up from a price increase perspective, only thing that we're being cautious about is how the consumer responds in the elasticity of it, and I feel good about the other mitigation actions that we're taking and feel good about the position of we're only gonna go so far when it in terms of reducing our new product or brand-building investment.
Tracy Shereman: Yeah. No. I think that wraps it up nicely. Brian mentioned, you know, we are just focused on making sure we can implement, you know, across, you know, our retailers and controlling our spending to make sure that, you know, we can manage to these headwinds.
Operator: Thank you. And my final question comes from the line of Peter Grom with UBS. Please proceed with your question.
Shiroc: Hi. This is Shiroc, for Peter Grom. Thanks for taking our question. So just two questions here. With a good part of your tariff headwinds now largely behind you and, you know, price mix expected to slow through in the second half, I'm curious, like, how much of the recovery is dependent on some level of volume stabilization? You know, you've mentioned, you know, being conservative on elasticity assumption. But to what extent does your outlook assume that volumes at least hold steady or begin to recover? And if so, do you see that being more of a full Q dynamic?
Tracy Shereman: Yeah. I would say thanks for that question. I would say for the outlook, you know, we're assuming kind of the consistent soft demand trend that we're seeing in the first half. And then we took a conservative position on the elasticity. We're seeing a headwind, a tailwind in the back half. It's from the retailers rebalancing inventory and recovery of the direct imports in the second half.
Shiroc: Okay. Great. And then my last question here, which is the, anything you can share on the broader consumer backdrop? I know you've mentioned some trade-down before. And are you still seeing similar things there? And then one more on beauty, we have seen some improvement there just based on what we've heard from, you know, public companies. Are you also seeing the same thing?
Brian Grass: Yeah. Let me do the beauty one first. You know, beauty at a broad level there's probably not overall trade-down occurring. I think there is trade-down within certain categories within beauty, and we do see it in some of the data related to our categories, especially as it relates to the younger consumer, which is increasingly stretched in this kind of environment. But at a broad level, when you're looking at some of those other companies, you may not see it. We also see it in terms of an indication of it anyway in terms of the disparity POS dollars that we have for our products and POS units. And I'll give you an example of how it's kind of mixed. We actually saw average unit strength in Curlsmith and Hot Tools. So average unit revenue was higher in those two. And then in Revlon and Drybar, average unit revenue was down fiscal year to date for two brands. So it's a little of a mixed bag. I would say we see indications of it but would agree with you at a broader beauty level. It's not, you know, moving the needle on the overall category. I think you gotta go with a couple of clicks down to decide, okay. Is it driving this category or another category? We are seeing indications of it, but, you know, it's not an excuse. We need to, you know, adjust to the market, and I think it all comes down to new product development, how we support that new product development. And then once we get that right, all this other stuff takes care of itself.
Shiroc: Got it. Thank you.
Operator: Thank you. This concludes our question and answer session. I'd like to turn the floor back to management for closing comments.
Scott Azel: Thank you all for joining us today. As I mentioned, I'm excited to be a part of Helen of Troy. In closing, I want you to walk away with that, we are clear-eyed about our current situation. We are focused on fixing our foundation, and we're bullish and excited about our future. I look forward to speaking with many of you in the coming weeks. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's teleconference. You may disconnect your lines, and have a wonderful day.